Operator: Good morning. My name is Stephanie, and I'll be your conference operator for today's call. At this time, I would like to welcome everyone to the CDW Second Quarter 2013 Earnings Conference Call. [Operator Instructions] I'd like to remind you that today's conference is being recorded. If you have any objections, please disconnect now. 
 It is my pleasure to turn the call over to CDW's Chairman and Chief Executive Officer, Tom Richards. Mr. Richards, you may begin your conference. 
Thomas Richards: Thanks, Stephanie, and good morning, everyone. It's good to be with you today and report strong results after the close of our successful IPO in July. Joining me today is the CFO, Ann Ziegler; and Chief Legal Officer, Chris Leahy. Also joining us for the first time is our new VP of Investor Relations, Sari Macrie.
 For those of you who are new to our calls, we will follow our usual format where I provide a high-level overview of results and strategic progress, and Ann provides a more detailed review of our financial results. After that, we'll open it up for some questions. But before we begin, Sari will read the company's Safe Harbor disclosure statement. 
Sari Macrie: Thank you, Tom. Good morning, everyone. Our second quarter 2013 earnings release was distributed this morning and is available on our website at investor.cdw.com, along with supplemental slides that you can use to follow along with us during the call. 
 I'd like to remind you that certain comments made in this presentation are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. Those statements are subject to risks and uncertainties that could cause actual results to differ materially. Additional information concerning these risks and uncertainties is contained in the Form 8-K we furnished to the SEC today and in the company's other filings with the SEC. CDW assumes no obligation to update the information presented during this webcast. 
 Our presentation also includes certain non-GAAP financial measures. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You will find reconciliation charts in the slides for today's webcast, as well as in our press release and the Form 8-K we furnished to the SEC. 
 All references to growth rates or dollar amount increases and our remarks today are, unless otherwise indicated, versus the comparable period in 2012. 
 I'd also like to remind you that this conference call is the property of CDW and may not be recorded or rebroadcast without specific written permission from the company. And with that, let me turn the call back to Tom. 
Thomas Richards: Thanks, Sari. The profitable top line growth that CDW has delivered for the past 14 quarters continued into the second quarter of 2013. 
 We also continued what has been a hallmark of our quarterly earnings announcements lately, delivering record-breaking results. In fact, we broke all of our previous second quarter records in 3 key metrics: net sales, which rose 7.5% to $2.8 billion; adjusted EBITDA, up 6% to $213 million; and non-GAAP net income, which was $79 million, up 17.8%. 
 The CDW team was able to generate this strong financial performance because of the strategies we have in place to take advantage of the core strengths of our business. These strengths include, first, our unique value proposition. Our position between over 1,000 vendor partners and over 250,000 customers provides us with the unique vantage point to provide value to both customers and vendor partners. 
 The choice we provide from more than 100,000 products and service alone creates tremendous value, yet given the increasing complexity of the IT marketplace, the real value we provide customers is how we guide them through the options to help them realize the fuller value of integrated solutions. 
 For our customers, we are an extension of their IT Department. For our vendor partners, we're an extension of their sales and marketing resources. 
 A second fundamental strength is our business model. Our business model leverages our scale and scope, our variable cost structure and performance-driven culture. Our scale and scope delivers national presence and enables our ability to allocate resources to market and technologies. Our variable cost structure enables us to modulate our hiring to meet market conditions, both up and down. 
 Our third fundamental strength is our balance. Balance across products, technologies, partners and customers. There are always puts and takes in terms of which markets are performing better than others or which products or technologies are performing better than others. Our balance helps us deliver consistent performance by mitigating macroeconomic and product or technology risk. The power of our balanced portfolio was front and center, once again, this quarter, both across and within our segments. 
 Our 7.5% net sales increase was driven by an increase in Corporate of 10.3% and Public of 4.1%. Our Corporate increase was fueled by excellent momentum in our medium and large business, which increased 13%. 
 Small business was down just under 2%. Customer buying in this space, which we define as less than 100 employees, continues to be impacted by the low confidence small business owners have in the economic recovery. 
 Public segment growth was led by Education, which increased 20% to more than $420 million in the quarter. Education sales were driven by exceptional results in K through 12. 
 Sales to government entities decreased 7%. Declining sales to the federal government due the combination of sequestration and ongoing issues with the release of approved budget dollars, which are being held up in process, and were not fully offset by strong mid-teens growth in state and local government. The state and local team continues to do a great job finding pockets of budget availability, particularly in the area of public safety and mobility. 
 Health Care sales were down just under 2% as health care providers slowed decision-making as they dealt with impact of the Medicare, Medicaid reductions and focus their attention on preparing for new service quality mandates. We remain confident about health care as a driver of our ability to overall outperform the market, the U.S. IT market. 
 Our other net revenues, which represent our Advanced Services and Canadian operations increased 6%. While Advanced Technology Services delivered low-teens increases, Canadian sales were more muted increasing mid-single digits. The year-over-year comparison for Canada was impacted by an unusual large shipment of hardware orders to the federal government in last year's second quarter. 
 When we look at the first 6 months year-over-year growth, it's low double digits. So we view this quarter's performance as temporary and feel good about our results for the remainder of the year. 
 Our portfolio of over 100,000 products contributed to a balanced product performance in the quarter. On a net sales basis, hardware grew 8%, software grew 5% and services grew 14%. We saw a especially strong results in products and services that support solutions such as Netcom, enterprise storage and telephony, as well as security software. 
 Notebooks delivered growth in the low 20% range. Desktops were up solid single-digits. PCs, which include desktops and notebooks, were up mid-teens for the quarter, confirming our view PCs remain an important part of corporate and public entity IT strategies. Our second quarter performance clearly demonstrates the power of our portfolio and the strength of our strategy. 
 We've been leveraging our core strength and executing against 3 strategic priorities for several years now. Our strategic priorities include: strategy one, increased penetration in our core business; two, expand our solution suite and vertical offerings; and three, enhance our service capabilities. We made progress against all 3 priorities during the second quarter. 
 Increasing penetration in our core business remains our greatest near-term growth opportunity, and our market segmentation plays a large part in our ability to continue to drive growth in our core. The success we have this quarter in K through 12 market is just a great example of this. Inside of our vertical that is focused on education, we further segment by K through 12 and higher ed. 
 When many K through 12 administrators started to deal with how they would prepare for the new common core testing requirements and digital curriculums, our specialized sellers, with a deep understanding of education, were ready with a solution that not only provides the devices necessary to meet the requirements, but also helps school districts build capabilities needed for digital curriculums. Today, the majority of states have adopted the common core. School districts across the country are working hard to implement digital testing requirements of common core before the fall of 2014. And we are providing many of them with solutions they need to comply with the requirements. It's not just the devices needed for testing, it's the solution wrapped around it. Schools need wireless infrastructure, servers, storage and security to protect their students and their networks. 
 Our solutions enable schools to deploy scale and centrally manage their entire fleet of notebooks. Schools can pre-install or block applications, extensions or URLs for different grade levels of students and unfettered access for teachers. They can manage user access and control network access, making it easy for users to get up and running, while ensuring students and their networks are protected by Web filters and firewalls. And they can do all this with very little management overhead and sleep better at night knowing the security protections and protocols are in place. The profitability of these solutions is enhanced by products and services wrapped around devices like software, networking and configuration. 
 Let me give you just one example. Working with the school system in New Jersey, we provided not only 5,000 notebooks loaded with all of the management software they needed to be secure, we are now helping them deploy an outdoor wireless system that provides the coverage to the community around the buildings across the district. 
 Our second strategy is to continue to expand our solutions suite. For CDW, solutions is a broad area that includes technologies such as virtualization, networking, security, unified communications and collaboration, cloud computing and mobility. 
 Providing solutions to customers improves their return on IT spend, as well as improves our competitive position, increases our loyalty and expands the customers' value. It also enhances partner relationships by providing a strong pathway to market. 
 To further our success in solutions, we have created practice areas with dedicated resources to help customers capitalize on emerging technologies. For example, our security practice has more than 50 dedicated workers and more than 100 billable engineers to work on security offerings. This focus is driving excellent results. 
 In 2011, when we first unified our security practice, customers spent about $500 million in hardware, software and services. This year, we expect customers will spend nearly $750 million.
 Security is on everyone's mind these days and we believe there are 3 reasons why. First, increased regulation in the payment card industry and also health care, both mandating protections are put in place to safeguard private information; second, the proliferation of mobility, which, while it drives productivity, also exponentially increases vulnerability to data breaches; and third, the cloud. When it comes to putting sensitive information in the cloud, they understand the need to protect it. 
 Having the ability to deliver services is critical to providing integrated solutions. That's why our third priority is to broaden our service capabilities. A great example of how service capabilities not only drive professional services revenues but also solutions, is a recent integrated solution we provided a midsized manufacturer. This customer wanted to outsource all of their IT management. The first thing we implemented for them was a remote managed services solution that takes care of their internal systems, including Windows, AIX and P Series and their network and unified communications devices. But to outsource everything, we also needed to have a way to handle their dealer support network for over 6,500 dealers across the U.S. 
 So we implemented a hybrid cloud solution that leveraged our infrastructure as a service offering to run their proprietary applications. To ensure the right level of security, our solution included a dedicated piece of security hardware, something we were able to do because of our full suite of solution capabilities. 
 By providing the hardware, we delivered a customized solution, hardware, infrastructure as a service and managed services. Altogether, this hybrid cloud and managed service solution is generating $140,000 in monthly recurring revenue over the next 3 years or more than $5 million total. 
 All in all, we delivered excellent top line results within the second quarter's continuing soft North America IT market. And we did so without sacrificing profitability, achieving a second quarter record of adjusted EBIT. These results reflect the power of our focus on execution, align compensation programs from the frontline to senior management around profitability, ongoing cost control, as well as a more cautious approach we took, bringing on new coworkers. 
 As I mentioned earlier, one of our core strengths is the ability to match coworker resources to market conditions. This is a key reason we have been able to sustain our industry-leading growth and profitability. 
 Consistent with what we shared with you last quarter, we monitor the market, and given the uncertainty, we continued our cautious stance on hiring during the second quarter. With the improvement we are beginning to see, we are ramping up our hiring and expect to finish the year with 100 to 125 additional customer-facing coworkers. As always, we will monitor the market conditions and adjust our hiring plans accordingly, up or down. 
 Overall, this quarter was a continuation of the themes from the recent past. The benefit of our balanced, combined execution is allowing us to profitably take share. We feel good about where we are right now, and particularly good about the momentum we are seeing in Medium and Large business, our largest channel. 
 As we've said before, we intend to profitably grow in 2013, at least 200 to 300 basis points faster than the overall U.S. IT market, which we currently expect to continue to grow in the low-single digits. Now I'll turn the call over to Ann for further detail on our financial highlights. Ann? 
Ann Ziegler: Thanks, Tom. Good morning, everyone. It's great to be here with you discussing our earnings as a public company. 
 It's been a busy time since our last call. As you know, on July 2, we completed our IPO. We issued 23.25 million shares and raised $373.5 million after commissions and underwriting discounts and before cost. 
 Our underwriters exercised their over-allotment option last week, raising an additional $56 million. We also executed a number of debt transactions, all while we continue to execute against our plan. 
 So let's start with our results. As Tom indicated, top line growth was excellent this quarter, with net sales of $2.779 billion, 7.5% higher than last year on both the reported and average daily sales basis as average daily revenues grew to $43.4 million. 
 We had fairly typical seasonality, so on a sequential basis, average daily sales in Q2 2013 increased 13.4% versus Q1. 
 Gross profit for the quarter increased 5.8% to $451.6 million. Gross margin was down 30 basis points to 16.2%, primarily due to the overlap of last year's reversal of a reserve accrual and lower product margins. 
 These impacts were partially offset by increased sales of higher-margin demand services and increased contribution from 100% gross margin revenues. 
 Tight focus on cost helped deliver SG&A, including advertising expense of $298 million, up only $7.5 million or 2.6% over last year. This increase was driven by increased sales commissions and other variable compensation costs, consistent with increased sales and gross profit, partially offset by the timing of coworker hiring. 
 Adjusted EBITDA for the quarter was an all-time record $212.6 million, up 6%. Our Q2 adjusted EBITDA margin was 7.6%, down 20 basis points from last year as cost control helped mitigate some of the impact of product margin compression. 
 As Tom mentioned, we entered the quarter with essentially the same number of coworkers at the beginning of the year, which helped drive annualized sales per coworker of $1.64 million, up 9% over Q2 2012. 
 Interest expense, which came in at $70.3 million, was 8.6% lower than last year. Our effective tax rate was 36.2% for the quarter versus 38.4% in the second quarter of last year. Net income increased 26.7% to $46.7 million. 
 Non-GAAP net income was $79.2 million, up 17.8% over last year. The adjustments we made to non-GAAP net income generally fall into 3 buckets: amortization of intangibles from the going private transaction; cost related to our refinancing activity; and our non-cash equity compensation. If we assume that the shares issued for the IPO and related transactions, including the exercise of the underwriters' over-allotment option occurred at the beginning of this year, we would have had approximately $172 million fully diluted shares outstanding for Q2. This would equate to roughly $0.46 per share of non-GAAP net income. 
 Quickly looking at the first half of the year, revenue was $5.191 billion, an increase of 5.9% on a reported basis, and with 1 less selling day in the first half of this year, up 6.7% on an average daily sales basis. 
 Gross profit during the first half of 2013 was $853.6 million, up 5.2%. Gross profit margin was 16.4% versus 16.5% last year. 
 SG&A, including advertising expense, increased by $8.4 million or 1.5%, again constrained by tight cost control and the timing of coworker hiring. 
 Our adjusted EBITDA for the first half was up 6.6% to $391.2 million and our adjusted EBITDA margin was 7.5%. Interest expense for the first half of the year was $142 million, and our effective tax rate was 36.3%. Net income was $75 million in the first half compared to $47.7 million in the first half last year. Non-GAAP net income was $135.5 million compared to $113.1 million, an increase of 19.8%. 
 Let me switch gears and talk about our balance sheet, which had a number of changes since our last call, some that impact current results and some that will affect our results going forward. 
 Let's start with the balance sheet at the end of June. We had $179 million of cash and cash equivalents, and we had $3.545 billion debt net of this cash, which is $188 million less than our December 2012 net debt balance. 
 Our cash plus revolver availability was $811 million. Net debt to trailing 12 month EBITDA at the end of Q2 was 4.5x, 0.4 turns less than December 2012. 
 In April, we refinanced our $1.3 billion term loan with a new $1.35 billion facility, extending the term and reducing the interest rate spread. 
 Actions we have taken that will further positively impact ongoing results include the completed July 2 redemption of $175 million of our 8% senior secured notes with proceeds from the IPO and the August 1 redemption of $324 million of our 12.535% sub notes, which was funded from the proceeds of the IPO and an add-on to our term loan, which we completed this week. 
 Reflecting these transactions, our pro forma debt on a GAAP basis net of cash at the end of the quarter would have been $3.24 billion. On a blended basis, reflecting the impact of redemptions and refinancing, our current interest rate is approximately 6.5%. 
 Assuming a further redemption in October of approximately $150 million of our senior sub notes, the weighted average interest rate on our then outstanding debt dropped to 6.2%, resulting in an expected weighted rate of approximately 6.4% for our second half. 
 Cash interest expense for the remainder of the year is projected to be approximately $125 million and due to certain IPO and refinancing-related deductions, state tax credits and overpayment credits, we now expect to take pay cash taxes at a combined state and federal rate in the range of 25% of pre-tax book income before our acquisition-related intangibles amortization. 
 Keep in mind that when you're modeling our cash taxes that are approximately $40 million per quarter of intangible amortization expense is, for the most part, not deductible for tax purposes. 
 Our ability to drive returns in this business is tied to our working capital management. This quarter, we continue to deliver strong working capital metrics, the details by component for which are provided on the slides posted for the call. 
 All in, our cash conversion cycle remains at 21 days flat versus last year. We expect to continue to maintain our cash conversion cycle within our target range of the low- to mid-20s as we move through the year. 
 Turning to remainder of the year. Given that we exceeded plans in the second quarter for adjusted EBITDA, we intend to incrementally invest $2 million to $3 million in the business over the balance of the year, and this is in addition to the hiring of the between 100 to 125 customer-facing coworkers that Tom talked about. 
 We booked for second half book interest expense of approximately $110 million, again assuming we redeem an additional $150 million of our sub notes early in the fourth quarter. This approximate $110 million does include the benefit of the booked interest equalization created by our sub debt redemptions. We currently expect our effective tax rate for the full year to be consistent with our first half rate of 36%. The $172 million fully diluted share count I mentioned as a pro forma number for Q2 is also a good number for the remainder of the year. 
 In thinking about Q3, keep in mind that there will be 1 more selling day this year than last year and that this will affect reported revenues. In addition, we estimate onetime IPO and debt transaction cost in the third quarter of approximately $115 million pre-tax, with about $75 million of this hitting SG&A and the remainder being debt extinguishment cost. 
 Finally, in addition to our target to continue to profitably grow at least 200 to 300 basis points faster than the U.S. IT market in 2013, I would like to share our medium-term targets with you. 
 We view the medium term as the next 2 to 3 years and hold ourselves accountable for delivering them on an annual basis, not quarterly. This includes adjusted EBITDA in the mid-7% range; mid-teens non-GAAP net income growth and delevering 1/3 to 1/2 term per year until we hit our target leverage of 3x. 
 That concludes the financial summary. Operator, can you please provide the instructions for asking a question? And can we please ask that you limit your questions to 1 question and 1 follow-up. Operator? 
Operator: [Operator Instructions] Our first question comes from Mark Moskowitz with JPMorgan. 
Mark Moskowitz: Your 2Q revenue definitely delivered nice revenue acceleration on a year-over-year basis. I was just kind of curious, can you give us a sense in terms of how much of that acceleration was driven by penetration of the existing customers versus market share gains? And how sustainable do you think those factors are? 
Thomas Richards: Mark, look as we talked about during the road show, we think more than a significant portion came from penetrating existing customers, but there was some portion -- we don't really share the percentages. But it was more heavily weighted to penetrating existing customers than it was acquiring new customers, just in total. 
Mark Moskowitz: Okay. And the follow up relates to the new hiring plans for the second half. Can you give us any sense in terms of the focal points where those new hires will be most focused? Is there a certain sector, certain product type, service type? If you can just elaborate there, that'd be great. 
Thomas Richards: Okay. So it'll be, as I said, the 125 are what we call customer-facing coworkers, it will be spread across some of our specialist organization and particular areas where we're seeing strong growth. And we'll also be adding a fair amount of new sellers, both inside sellers and field sellers. So it will really be across those 3 disciplines and then the fourth one is service delivery, expanding out our national services footprint. So it will be in those kind of 3 groups. 
Operator: Our next question comes from Ben Reitzes with Barclays. 
Benjamin Reitzes: I wanted to ask about gross margin trends. You talked about how the notebooks, it seemed like the notebooks may be even surprised to the upside. I would assume they might be on the lower margin side, but I wasn't sure. And I wanted to kind of get your view of how gross margins may play out for the year, given the trends you saw in PCs in the quarter. 
Thomas Richards: Ben, I would say that what we saw in general was kind of gross margin pressure. And what we would call more of the transactional products, it was pretty consistent across the whole product suite. We anticipate that, that's going to continue. We think it's a function of just kind of the economic climate and some of the pressure and headwind it's putting on the business. So it was kind of a constant pressure across that group of products, specifically. 
Benjamin Reitzes: Got it. And you think that's going to last throughout the year, given the industry dynamics that are, perhaps, going on with some large competitors and are planning that way? 
Thomas Richards: Yes. That's exactly -- we are anticipating that it is going to continue. Look, I'll be thrilled if it doesn't, but we're kind of counting on it continuing to happen. 
Benjamin Reitzes: Got it. But it's in the plan, it sounds like, that the margin can stay in this range? 
Thomas Richards: Well, we are going to hold ourselves accountable to delivering the profitability we -- Ann articulated. So the answer is, yes, we're going to deliver. 
Operator: Our next question comes from Bill Shope with Goldman Sachs. 
Bill Shope: Okay, great. My question is on the subsegments. Could you dig in a bit more to the growth acceleration, the Medium and Large business segments, and how you're thinking about the pace of business during the second half? 
Thomas Richards: Yes. We're -- as I said, we're thrilled with what we've seen. That momentum started to pick up at the end of last year, and we've just seen it continue. I think part of it has to do with, as you know, the market segment that is our sweet spot and we focus on within MedLar, more seeing what I would call businesses continuing to invest in infrastructure. And we saw that in the solutions part of our business that's tied to MedLar. I would tell you also that as we identified, we also had strong transaction growth. So it wasn't just a one-trick pony as far as what's driving that. And we are anticipating that will continue throughout the rest of the year. It's been 2 or 3 quarters of good momentum now. 
Bill Shope: Okay, great. And then as a follow up, I guess on the other side of that, some of the weakness you saw in Health Care. How are you thinking about that in the back half? Should that weakness continue? Is there a possibility that you get some growth there in the back half? 
Thomas Richards: Well, I think they're going to continue to see some of those headwinds that I alluded to. Those will continue. But as I also said, we do still view Health Care as a strong component of our growth profile. And so we're going to expect that they'll get back into the positive side of the ledger. We're just not quite exactly sure when that is and when some of the -- what I would describe ambiguity tied to House sequestration trickles down into Medicare, Medicaid. And so that's going to continue to be a headwind for them. 
Operator: Our next question comes from Brian Alexander with Raymond James. 
Brian Alexander: With, Tom, with the sales momentum building in the second quarter, especially for Medium and Large and with the comparisons overall for revenue easing in the second half, should we expect the second half growth to be greater than what we saw in the first half? I think you were about 5.8% in the first half. Should we see that accelerate? And where would you expect to see that acceleration if you believe that? 
Thomas Richards: Brian, I think we're going to continue to kind of meet our commitment to be 200 to 300 basis points at least greater than the IT market. There are some wildcards in the second half. What happens in the federal market with sequestration and how that plays out with the budgeting process, which, I wish I had enough clairvoyance to predict, but I don't. But we are anticipating a strong mid-single digits growth over the second half of the year, assuming the IT market continues to grow in low-single digits. 
Brian Alexander: Great. And then just a follow-up on the gross margin and the pricing pressure that you talked about. Is that a function of where you saw the sales strength? In other words, Medium and Large business may be a little bit more competitive than some of your other customer segments? Or are you suggesting it was really transactional products across customer segments? 
Thomas Richards: Brian, it was the latter. It was really -- we saw it across the segments, and it was transactional products in general. 
Operator: Our next question comes from Chris Whitmore with Deutsche Bank. 
Chris Whitmore: Just to follow up on that last question. I wanted to ask you if it was specifically related to one competitor that's instigating the pricing, and to what extent are you getting support from your vendors to take that competitor on? 
Thomas Richards: No. I don't think I could point to a single competitor that was driving the pricing pressure in  the marketplace. Look, we constantly get support from our partners to kind of build solutions and to grow the business. But the direct answer is no, it wasn't a single competitor. 
Chris Whitmore: Okay. That's helpful. And then secondly I wanted to ask about sales productivity. The sales force looked incredibly productive or revenue per coworker is the highest it's been in several years. Do you see more room to drive productivity higher over the next 12, 18 months? Any color on that would be helpful. 
Thomas Richards: I think my team would tell you, they could answer that question with a yes. We do see opportunities to grow productivity on a per-sales basis and also revenue per coworker. We think, despite our excellent execution and our focus on process improvement, we have a number of initiatives underway right now, which we think are just going to continue to enhance the productivity of that sales organization. 
Operator: Our next question comes from Katy Huberty with Morgan Stanley. 
Kathryn Huberty: You talked a lot about the acceleration in hardware, PCs, Netcoms, storage. But can you talk about the deceleration in software? Were there particular offerings or categories that drove that deceleration? 
Thomas Richards: I don't really think it was unique to a particular category as much as it was just tied to -- there were some deals that didn't repeat that were pretty significant. And that ends up being a one-quarter kind of phenomenon. But I wouldn't say there was anything, Katy, that would say there was weakness in a particular software category. We've had some surprising growth from new players in software -- and for the software market, that's been encouraging. And so nothing that I would kind of say, "Gee, here's a systemic weakness in a particular part of the marketplace." 
Kathryn Huberty: Okay. And then as we think about OpEx into the third quarter, given that it sounds like hiring was maybe back-end loaded in 2Q, you still plan to add heads in the back half, and there's $2 million to $3 million of incremental investment. Should we think about OpEx growing faster than revenue sequentially in the third quarter? 
Ann Ziegler: Not so much faster but more in line with. It's how I would think about it. 
Operator: Our next question comes from Jayson Noland with Robert Baird. 
Jayson Noland: Tom, any sense for the divergence between MedLar and Small business there? 
Thomas Richards: Yes. Good question, Jayson. We think kind of as I alluded to in the script that there is still more of a cautious nature. And I suspect it's just the nature of the beast and the financial flexibility that a small business has versus a larger corporation that might have more resources, with which to allocate to making IT investment. I don't know that it's anything more than just different views of the economic climate they're operating in and who has more flexibility and therefore, who can make greater investment. That would be just my thesis at this point. 
Jayson Noland: Okay, understood. And last question, any additional color or growth rate you can provide for Netcom and storage? 
Thomas Richards: Well, we don't provide actual forecast by product category, but I can tell you it seems like every one of these earnings calls I do, Netcom and storage is highlighted as an area that's growing faster than overall CDW. So I think it's just a function of, as people have been moving data, enhancing data center that the movement has to be -- the data has to be stored. You just kind of see those 2 technologies kind of working in a step function together. 
Operator: Our next question comes from Bhavan Suri with William Blair & Company. 
Bhavan Suri: Just a couple of quick questions, but first on the solutions business, which saw some strength, what sort of emerging pieces or what's driving the strength there in terms of specific solutions in the emerging space? 
Thomas Richards: Well, I alluded to 1, which is security has been just kind of a really significant growth engine for us. We've been adding additional resources to support that growth. Also on the area of networking and Netcom in general, as people are kind of expanding their networks to deal with the proliferation and movement of data. And in storage, as I just alluded to, again, it's -- I don't know how many quarters in a row we've continued to have strong storage growth. So those, I think, are 3 categories that seem to be the biggest consistent drivers of our solutions business. I had one other. We put -- we have a category called Converged Infrastructure. It includes security, mobility, networking, collaboration. And those have been strong, strong growth areas for us. 
Bhavan Suri: Okay. And then what was utilization in that business? 
Thomas Richards: Well, we measure utilization across the company, and let's just say it was in the mid-60s range, which is a good utilization rate for us. 
Bhavan Suri: Yes. And then one last one from me. As you look at the MedLar business and you look at sort of the solution sale into that, are you running into different competitors there, rather than the typical sort of distributors of ours that you might have run into just, say, selling a hardware or PCs or something? 
Thomas Richards: No, not yet. I mean, if you're kind of asking are we beginning these systems integrators come downmarket, no. We -- look, I would say, I can't say never. But I would say for the most part, we're competing with the people that we traditionally have competed with which is the local bars. 
Operator: Our next question comes from Matt Sheerin with Stifel. 
Matthew Sheerin: I just wanted to talk again on the gross margin. And as you look to the September quarter in terms of seasonality, I know in the past, due to the strength in federal, that you've seen some modest margin erosion in the September quarter. Are you expecting that as well? And in line with that, you did talk, Tom, about a cautious outlook on government due to the sequester. Are you expecting normal seasonality and budget flush in the federal business this quarter? 
Thomas Richards: So those are kind of related, actually. Let me see if I can come out, Matt, and see if I can answer the question. I think look, as I said earlier, it's a wildcard. I mean, I think we're in a little bit of a territory that we haven't been before. But based on the volume of work and planning and activity our government organization is seeing, we would expect to see -- I don't know that I'd call it a full flush, but kind of an improvement and increasing activity. We just don't know the degree at this point. And so I think that will influence both your question on top line growth and then just as importantly, your question on margin. So it is a bit of a wildcard as we go into some unchartered waters here. 
Matthew Sheerin: Okay, fair enough. And as my follow-up, on the hardware side, you did talk about strength in notebooks. Is that coming from both the corporate and government and education markets? And then related to that, you didn't mention tablets. Has that continued to be strong? We've seen some distributors talk about some weakness there's, so what are you seeing in tablets and how does that affect your margins? 
Thomas Richards: All right. So let me make sure I got both of those. The first one is we saw the notebook growth pretty much across the spectrum when it comes to the different segments. And we did see some tablet softening, if I can say it that way, which, I think, just kind of demonstrates the growth of the portfolio, the benefit of having such a broad portfolio. 
Matthew Sheerin: Okay. And the margins on tablets for you in line with notebook margins? 
Thomas Richards: Look, the tablet margin is, by nature, going to be not as strong as notebook. But it isn't anything that isn't kind of in a normal rhythm of the business, if I can say it like that. 
Operator: [Operator Instructions] I'm currently showing no further questions. At this time, I would turn the call back over to management for closing remarks. 
Thomas Richards: All right. Thanks, Stephanie. I'd like to thank everybody again for taking the time this morning in joining us. Thank you for your interest in CDW. And as I always end these calls, if you or your company need some help with technology, we'd be more than happy to help and you guys know how to find me. So thanks again for joining. 
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect and have a wonderful day.